Operator: Good morning, and welcome to the Gartner Third Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask question. Please note this event is being recorded. At this time, I would like to turn the conference over to David Cohen, Gartner's GVP of Investor Relations. Please go ahead sir.
David Cohen - Gartner, Inc.: Thank you, Denise, and good morning everyone. We appreciate you joining us today for Gartner's third quarter 2018 earnings call. With me today are Gene Hall, Chief Executive Officer; and Craig Safian, Chief Financial Officer. This call include a discussion of third quarter 2018 financial results and our current outlook for 2018 as disclosed in today's press release. In addition to today's press release, we have provided an expanded supplemental document for investors and analysts, in which we provide a detailed review of our financials and business metrics. And the supplemental document included a full non-GAAP P&L, excluding all the divested operations. This table combines Heritage Gartner and Heritage CEB, and removes the operating results of the divestitures starting January 1, 2017. For 2018, the table provides results as if we had used the net proceeds from the divestitures to repay debt on December 31, 2017. This gives you a view down to adjusted EPS for 2018 that reflects how we are thinking about the business as we plan for 2019. All growth rates in Gene's comments are FX neutral, unless stated otherwise We've posted the press release and supplemental PDF to our website, investor.gartner.com. Following comments by Gene and Craig, we will open up the call for questions. On the call, unless stated otherwise, all references to revenue and contribution margin are for adjusted revenue excluding divested operations and adjusted contribution margin excluding divested operations which exclude the deferred revenue purchase accounting adjustments and the recently divested businesses. All references to EBITDA are for adjusted EBITDA excluding divested operations with the adjustments as described in our earnings release and excluding the divested operations. All cash flow numbers unless stated otherwise are as reported with no adjustments related to the divested operations. Reconciliations for all non-GAAP numbers we use are available in the Investor Relations section of the gartner.com website. Finally, all contract values and associated growth rates we discuss are based on 2018 foreign exchange rates. In the earnings supplemental, the abbreviation ex D.O. indicates that the metric excludes divested operations. As set forth in more detail in today's earnings release, certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company's 2017 annual report on Form 10-K and quarterly reports on Form 10-Q as well as in other filings with the SEC. I encourage all of you to review the risk factors listed in those documents. Now, I will turn the call over to Gartner's Chief Executive Officer, Gene Hall.
Eugene A. Hall - Gartner, Inc.: Good morning and welcome to our quarterly earnings call. Thanks for joining us. We drove another strong quarter of double-digit growth in Q3 with total revenues up 13% and EBITDA up 17%. We continue to see strength within each of our three businesses; Research, Consulting and Events. Research revenue was up 12% year-over-year. Consulting revenue was up 10% year-over-year with backlog up 18% on a reported basis. On a same-event basis, Events revenue was up 21% and the number of attendees was up 17% year-over-year. We continue to apply the Gartner Formula for growth to both Global Technology Sales and to Global Business Sales. Global Technology Sales was up 14% and again delivered double-digit growth in every region across every size company and in virtually every industry. We continue to pursue the enormous growth opportunity with our GTS clients and prospects. We also have an enormous growth opportunity by applying the Gartner Formula to GBS. Applying the Gartner Formula has required an unusually large amount of change for GBS during 2017 and 2018. We restructured the organization. We eliminated discounting and reconfigured contract terms and conditions. We introduced seat-based offerings and made many more changes. These changes put in place the foundation for sustained double-digit growth in the future. Change of this magnitude puts everyone affected on a new learning curve and this impacted short-term productivity, as we expected. Looking to the future with much of the foundation in place, we expect our teams will advance on the learning curve, resulting in sustained double-digit growth. First, our GBS leadership team and salespeople understand and are fully bought in to the Gartner Formula. They have the will. They're determined to succeed and they're incredibly excited about the opportunity ahead. With this determination and excitement, their skills in executing the Gartner Formula are getting better every day. Clients appreciate the strong value proposition in our new seat-based products. As a result, over the past three quarters, the proportion of our salespeople who sold their first seat-based deal has grown rapidly. And once they've sold their first deal, salespeople quickly accelerate in selling their second, third and more. As you might expect, the proportion of a seat-based contract value has also rapidly grown. Our business development salespeople in GBS have already achieved similar levels of productivity to their colleagues in GTS. Our account executives are also accelerating their sales of seat-based products. Account executives also have renewals to process. So, their seat-based sales are accelerating at a slower rate than the business development salespeople. One of the key elements in the Gartner Formula is advanced analytics-based selling tools. These tools are critical element of the strong performance in GTS. We've recently implemented these tools for GTS and GBS will benefit in the same way. Retention is critical in our business and we're world class. Throughout 2018, we've added GBS service teams for the Gartner Formula. We're already seeing benefits in the places we've deployed these teams. As we scale other areas of GBS, we expect this will drive further improvements on retention. Focus is another core element of the Gartner Formula. So we've divested businesses that weren't central to our strategy. And finally, we know from our track record extending more than a decade that if we have more salespeople, we will sell more. We'll close 2018 with a substantially more capacity and will add even more during 2019 So in GBS, with much of the foundation in place, we expect the learning curve to accelerate, resulting in sustained double-digit growth. In closing, we have strengthened all three of our business segments. I recently experienced the power of Gartner in helping clients achieve their mission-critical priorities when I attended our Symposium Conference in Orlando. This event is the most important gathering of CIOs and senior IT executives in North America. The executives were inspired and empowered to succeed as a result of the insights we delivered at this important event. Our associates were equally inspired and excited about the incredible value we deliver to our clients. I encourage all of you to attend at least one of these events to experience the power of Gartner for yourself. We have an incredibly large market opportunity. We know the right things to do to drive success in our business by applying the Gartner Formula and we're on track to achieve sustained double-digit growth in revenues, earnings, and cash flows for years to come. With that, I'll now turn the call over to Craig Safian, our Chief Financial Officer.
Craig W. Safian - Gartner, Inc.: Thank you, Gene, and good morning, everyone. Demand for our services remains robust around the world and in the third quarter, we delivered excellent financial results across our three primary operating segments. As our fourth quarter 2018 outlook demonstrates, we expect to deliver another year of double-digit revenue and EBITDA growth with strong cash flow generation. Before reviewing our Q3 performance, I wanted to provide you with an update related to our planned 2018 divestiture activity. Once assessing which assets were non-core to our business, we set in motion a process to divest those businesses. In Q2, we sold CEB Talent Assessment for about $400 million and CEB Workforce Surveys for about $28 million. We sold Challenger Sales Training for about $120 million in Q3 and we closed on Metrics That Matter yesterday for about $15 million. Divesting these non-core businesses allows us to increase our focus on the core as well as utilizing the proceeds to rapidly delever our balance sheet. On our website, we've provided a full normalized, non-GAAP P&L, which excludes divested operations to give you a clean look for 2018 by quarter down to adjusted EPS. This P&L reflects how we are thinking about the business as we plan for 2019. Third quarter revenue was $910 million, up 11% and up 13% on an FX-neutral basis. The purchase accounting adjustment for deferred revenue was down to about $250,000 for the quarter. We also delivered contribution margins of 64%, up about 100 basis points from the prior year, EBITDA of $149 million, up 15% year-over-year and 17% FX-neutral, and adjusted EPS excluding divested operations of $0.83 per share. The divested operations amount we excluded was about $0.02 per share in the quarter. Free cash flow in the quarter was $251 million. Research had another excellent quarter with significant year-over-year growth in revenue. Contribution margin also improved. Research revenue grew 11% in the third quarter and 12% on an FX-neutral basis. The contribution margin for Research was 69%. Total contract value was $3.0 billion at September 30, growth of 12% versus the prior year. We always report contract value growth in FX-neutral terms. I'll now review the details of our performance for both GTS and GBS. In the third quarter, GTS contract value increased 14% versus the prior year. GTS now has contract value of $2.4 billion. Client retention for GTS remained strong at 83%. Wallet retention for GTS was 105% for the quarter, up 120 basis points year-over-year and the highest level we've reported since measuring GTS. GTS wallet retention rates reflect the combination of greater spending and greater retention rates with our higher spending and larger clients. GTS growth of new business was 8% versus the third quarter of last year. We had a number of new business deals slip out of the third quarter that have since closed in October and the pipeline for Q4 remains very strong. We continue to see a mix of new business across new clients and sales of additional services and upgrades to existing clients. We ended the third quarter with 12,477 GTS clients, up 6% compared to Q3 2017. The average contract value per enterprise also continues to grow. It now stands at $192,000 per enterprise in GTS, up 8% year-over-year. This continued and consistent increase in average spend reflects our ability to drive CV growth both through new and existing enterprises. Our investments to improve sales force productivity continued to pay off with an increase again this quarter. For GTS, the year-over-year net contract value increase, or NCVI, divided by the beginning period quota-bearing head count, was $112,000 per salesperson, up 11% versus the third quarter of last year. This is the fourth consecutive quarter of year-over-year productivity improvement. Turning to Global Business Sales. As of September 30, GBS had contract value of $615 million, representing year-over-year growth of 4%. Note that some of the historical GBS numbers have changed to reflect the divestitures of the Challenger Sales Training and Metrics That Matter businesses. We continue to make progress with GBS retention metrics. GBS client retention was 83%, up more than 375 basis points from the prior year and an all-time high for GBS. GBS wallet retention was 97%, up more than 100 basis points versus the prior year and up about 40 basis points sequentially. New business declined by 6% in the quarter versus the prior year as the growing sales of seat-based products wasn't yet enough to offset the lower sales of legacy products. We ended the third quarter with 5,675 GBS clients, up 2% versus the prior-year period. For GBS, productivity was relatively stable compared with both second quarter of 2018 and third quarter of 2017. The year-over-year net contract value increase or NCVI divided by the beginning period quota-bearing head count was $38,000, down a few thousand dollars compared to both the third quarter of last year and the second quarter of this year. The productivity reflects the operational shifts we have the sales team making to the new Gartner seat-based products. Our data and analytics show that as our sellers gain more experience with the new products, their productivity improves. The average contract value per enterprise at GBS increased about 2% to $108,000. This increase reflects our ability to drive CV growth both through new and existing enterprises at GBS as well as GTS. Since the third quarter of last year, we have made a number of changes and operational improvements to the GBS business to follow the Gartner growth formula that we detailed at Investor Day. All of these changes and the improvements Gene highlighted earlier provide the foundation for sustained long-term double-digit growth. Our Research business performance in Q3 was very strong. GTS was outstanding with increases in wallet retention and sales productivity. For GBS, the early indications reinforce our outlook for double-digit contract value growth next year and 12-plus percent growth in 2020. In Events, revenues increased by 27% year-on-year in Q3 to $57 million. FX-neutral growth was 30%. Events third quarter gross contribution margin was 44%. Gross contribution increased 55% from last year's quarter. We had 17 destination events in Q3 consistent with last year. On a same-event, FX-neutral basis, revenues were up 21% with a 17% increase in same-event attendees. Third quarter Consulting revenues increased by 9% to $79 million. FX-neutral growth was about 10%. Labor-based revenues were $70 million. In the labor-based business, revenues increased 8% versus Q3 of last year or 9% on an FX-neutral basis. On the labor-based side, billable head count of 727 was up 7% and we had 135 managing partners at the end of Q3, about flat versus the prior year. Backlog, which measures labor-based projects under contract where there is more work to be done, is the key leading indicator of future revenue growth for our Consulting business. Backlog ended the quarter at $108 million, up 18% year-over-year. Our bookings performance remained strong and our Q4 pipeline is encouraging. The contract optimization business was up 19% versus the prior year quarter, helped by an easier compare. Overall, Consulting gross contribution margin was 23% in the third quarter. With the divestitures we discussed earlier, there is essentially no revenue left in the Other segment. Going forward, we will be reporting our business in three segments; Research, Consulting and Events. The small amount left in Other will be consolidated into the Research segment. On a GAAP basis, SG&A increased by 6% year-over-year in the third quarter and 8% on an FX-neutral basis. Adjusting for the divestitures and other non-recurring items, SG&A increased 13% year-over-year on an FX-neutral basis. We continue to grow sales capacity and the enabling infrastructure to support our strategy of delivering sustained, double-digit growth over the long term. The enabling infrastructure includes investments in human resources functions, like recruiting and real estate to support the increased number of associates around the world. Our sales force continues to be our largest investment and at the end of the third quarter, we had 3,720 quota-bearing associates in Research. This includes 2,955 in GTS and 765 in GBS, or a growth of 13% and 20%, respectively. EBITDA for the third quarter was $149 million, up 15%. FX-neutral growth in EBITDA was 17%. Depreciation and amortization were about flat with last year, while integration expenses were down year-over-year as we have moved past the biggest part of the integration work. Interest expense in the quarter was $27 million, down from $39 million in the third quarter of 2017. The lower interest expense relates to paying down debt over the past year. Our adjusted tax rate, which we use for the calculation of adjusted net income, was 20% for the quarter. The rate for the quarter was lower than anticipated due in large part to the expiration of certain statutes of limitation and excess tax benefits attributable to stock-based compensation. Adjusted EPS, including the divested operations in Q3, was $0.85 with upside relative to our expectations driven by strong operating performance, which includes some costs that slipped into the fourth quarter as well as benefits from a number of below-the-line items. Excluding the divested operations, adjusted EPS in Q3 was $0.83 per share. In Q3, operating cash flow was $249 million compared to $150 million last year. The increase in operating cash flow was driven by strong operating results, lower interest expense and improvements and catch-up in working capital. Q3 2018 CapEx was $25 million and Q3 cash acquisition and integration payments and other nonrecurring items were approximately $26 million. We had some planned Q3 CapEx slipped into the fourth quarter. This yields Q3 free cash flow of $251 million, which is up more than 70% versus the prior year quarter. On a rolling four-quarter basis, our free cash flow conversion was 137% of adjusted net income, including divested operations. While free cash flow conversion on a trailing 12-month basis is very strong, we expect a modest Q4 for free cash flow, which will temporarily reduce that measure again. The GBS business has the same working capital characteristics as our GTS business. And as we see acceleration in GBS contract value, we would expect to see a corresponding improvement in our free cash flow conversion metrics. During the third quarter of 2018, we repaid $262 million of debt, leaving our September 30 debt balance at about $2.2 billion. That's down more than $1.4 billion since the acquisition. As of the end of Q3, all of our debt is fixed rate. Our gross leverage on a reported basis is about 3 times. Adjusting EBITDA for the divestitures, our gross leverage ratio is now about 3.3 times EBITDA. And with strong EBITDA in the fourth quarter, we are in range of our leverage target. Our capital allocation strategy remains the same. We deploy our free cash flow and balance sheet flexibility on strategic value-enhancing M&A and returning capital to our shareholders through our buyback programs. During the month of October, we took advantage of the lower stock price to repurchase over $60 million worth of our stock. Turning to the outlook for 2018. With our planned divestitures completed, we have provided you with a set of non-GAAP financials we use to evaluate the business on the basis we will have going forward. In the supplemental document available on our website, we provide a walk from the original guidance we provided in February to the guidance we're giving now. With all the moving parts related to divestitures, we are providing guidance for the fourth quarter rather than for the full year. Our operating expectations for the full year are tracking to what we first outlined in February. Our adjusted EPS outlook is stronger now as below-the-line upside from depreciation, equity compensation and tax flows through. With the strengthening of the U.S. dollar that we saw over the course of the third quarter, we expect to see our top-line reported results impacted again in the fourth quarter by FX. As you update your models for Q4, please keep in mind that our original estimates for reported revenues, reported expenses, and reported EBITDA will be impacted by about 1% due to the stronger U.S. dollar. This is baked into our Q4 guidance figures. The highlights of our fourth quarter guidance are as follows. For Q4 2018, we expect adjusted revenues of approximately $1.070 billion to $1.115 billion. We expect adjusted EBITDA of $211 million to $231 million. Amortization will see a noticeable step down from about $51 million in Q3 to about $35 million in Q4. We expect an adjusted tax rate of around 29% for the fourth quarter implying a full year tax rate of about 25%. Please note that if you are adding back from GAAP net income, the rate for the tax effect on the add-backs in the fourth quarter is about 21%. We expect fourth quarter 2018 adjusted EPS, excluding divested operations, of between $1.18 and $1.34 per share. For the full year, without adjusting for the divestitures, we expect free cash flow of $440 million to $460 million. At the midpoint, the conversion from the comparable basis adjusted net income is almost 130%. Consistent with typical seasonality and some capital expenditures that slipped into the fourth quarter, we expect free cash flow in the fourth quarter to be slightly negative. All of the details of our guidance are included on our Investor Relations site. Our strong 2018 financial and operating performance across all of our operating segments continued in the third quarter. Notably, we sustained strong GTS contract value growth of 14% for the quarter and sales of our new seat-based products in GBS continue to scale. Free cash flow improved significantly in the quarter. We have divested all of the identified non-core assets and used those proceeds to rapidly delever. We've reduced our debt balance by more than $1.4 billion since the acquisition in 2017. The trends going into the fourth quarter are strong and our teams are executing the 2018 plan. As we shared with you at Investor Day, we are applying the Gartner growth formula across the combined business to drive sustained, long-term, double-digit growth to revenue, earnings, and free cash flow. With that, I'll turn the call back over to the operator, and we'll be happy to take your questions. Operator?
Operator: Thank you, Mr. Safian. We will now begin the question-and-answer session. Your first question will be from Timothy McHugh of William Blair. Please go ahead.
Timothy McHugh - William Blair & Co. LLC: Hi. Thank you. I guess, just wanted to follow-up on the GBS productivity kind of discussion. And I guess one comment, which you made, I think, it was that the business development staff was at the same productivity as GTS, but the account executives aren't. So, can you help us understand, I guess, how much of the business activity comes from each of those? And I guess, if one is already at the productivity level of GTS, the implication of account executives are, I guess, severely lower than the comparable role at GTS. So, can you talk at all about that? Thanks.
Eugene A. Hall - Gartner, Inc.: Hey, Tim. It's Gene. I'll get started and then Craig can follow-up. So, basically, we have two kinds of salespeople. Business developers that have a set of prospects that aren't buying anything from us today and so that's one kind of a selling cycle. And then we have different kind of salespeople, which we call account executives, who actually have existing clients, and their job is to renew those existing clients and to sell additional business to those existing clients. And as you mentioned, one of the things that we've been very – that has gone very well is that the sales productivity of our business developers at this point is roughly comparable to the sales productivity of business developers both between GTS and GBS. On the account executives side, what's going on is two things. The salespeople, first of all – so, let me go to BDs. Business developers, all they have to do is to sell new clients with this new product. They don't have to renew all of those. And so, the learning curve they have is a lot simpler if you're just selling the new product than if you have to sell – have to renew the old one and also maybe have clients that say (28:51) I have the old product, can I extend it or whatever versus selling to all new clients. So, what's really going on is the business developers have a much faster learning curve and they've gone up that learning curve nicely because it's a much simpler selling task. On the account executives, first, they have a more complicated learning curve, as I mentioned, because they have to go through all the renewals. In addition, the amount of renewals that they have to do is quite high relative to the GTS account executives. We are changing that over time. So, over time, we're reducing the amount of renewals that each of the account executives has to do. Over the short term, they have substantially more renewals than the GTS account executives. That limits – so their time available to sell the new products is limited because of that relative to a GTS account executive. And so, as a result, their learning curve on selling the new products is slower. They're actually doing quite well. So if you look at it – in each quarter, the proportion of account executives that have sold at least one sale that's in the new seat-based products has been growing sequentially quarter-over-quarter, and it's now a substantial part of our total sales force. In addition, if you look at those that sold one three quarters ago, now they're selling – they have continued selling and that pace has accelerated. The same for those who've sold two, they accelerate again, but at a slower acceleration to business developers for the reason I just talked about. And so, they've a slower learning curve, but they're climbing up that learning curve quite nicely, given the additional workload they have from all the renewals they have to do.
Craig W. Safian - Gartner, Inc.: And then Tim, the other thing just worth mentioning, to add on to Gene's point, is around the legacy leadership councils and the account executives largely having that in their territory to renew and/or migrate. And then all the business that the business developers are selling, which is seat-based, will then be covered by account executives going forward. But inherently, those account executive territories will have more opportunity because we haven't sold a enterprise license leadership council. We'll actually have seat-based products in there, which will allow us to further penetrate the organization, the buying center, the function in the same way that we do on the GTS side.
Timothy McHugh - William Blair & Co. LLC: Okay. Thank you. And then I guess, just more broadly, I think one of the biggest questions people have is just trying to, I guess, share probably the confidence you express on GBS' growth rate improving. So, is this the metric that you focus the most on, that kind of account executive productivity? I guess, what are you seeing besides this maybe that you would point to that, I guess, reinforces the confidence that it will get better from here?
Eugene A. Hall - Gartner, Inc.: Yeah, Tim. It's the set of things. So, it's not a single metric. Actually, there's a set of things that I talked through in my prepared remarks. And what it is really are, we know from our experience in GTS, the foundational elements that lead to sustained double-digit growth. And so, we've been putting those foundational elements in place. And the things I talked about in my opening remarks that we know will pay off over time. So, first, I'll give you some examples. So, we switch products to a seat-based product and we know a seat-based product, as Craig said, gives you both higher retention rates and also gives you more growth opportunities to it. Now, one of the questions then is when you use seat-based products, do HR professionals or finance professionals get as much value as the IT professionals? And so, one of the things we're seeing actually is, yes, they get just as much value. So, we've been very successful in – we've introduced those new products and the uptake has been very good. And as I mentioned, the uptake accelerates. So, what you've got is some legacy products in the pipeline that already have been – proposals have been put into clients. So, we let those follow through. Those have been falling off. What's been rising is sales of the seat-based products and it's been rising at a good rate. The net kind of looks like zero, but under the covers, you see this really rapid rise of the new seat-based products. And we talk to clients – we do see them selling well and we talk to clients about them. They really understand that there's a lot better value. And just as a recap, the reason there's better value is that, first of all, you get the traditional research, like an HR that we had from CEB, but you also then get all the technology stuff that's related to HR, things like how to – selecting products like Workday and how to implement things like that, that HR leaders care about and the same thing is true for finance and legal and all the other functions. And then also just there's inherently more value in the seat-based product. And then, we look at things like, as I mentioned before, the first – if you've been selling enterprise agreements, the hardest sale you have to make on a seat-based product is that first sale. And the proportion of our salespeople in both account executive and business developers that have made that first sale has been rising every quarter and now is a substantial portion of our sales force. That's another, what I'd say, foundational element that gives us confidence we're on a really good track there. And then beyond that, the ones who've sold one, then rapidly then sell two or three or four right in sequence. And so, as we would expect, the first one is the hardest. Once they sell the first one, they understand how to explain the value proposition to clients, how to address objections that client might have for both the seat-based products, the fact we don't discount. Once they get that first sale with those terms and that kind of product, they get confidence, they get their talk tracks down and their learning curve accelerates. And so, as we look at it, clients love the products. The products are being taken up well. The proportion of salespeople that have made their first sale has been growing rapidly. And those that made first sale early on have continued with further – accelerated the number of sales they can make – the amount of time it takes to make a sale has improved. In addition to that and I mentioned this, we have – so all the new seat-based products have the Gartner traditional services support, which has driven great retention. Our legacy leadership councils didn't have those kinds of support. We implemented that on some of the leadership councils and found that retention went up substantially. We've continued now to add more of that service support to that whole product line. Those people just came onboard, but we'd expect to see the same kind of retention improvements that we did in our first pilot groups that we did at the end of last year as we would with these new ones that we've done throughout this year. That'll impact really 2019. So, those are some – and I guess one other thing I'll mention that's really important, which is any time you have a change program, the single most important thing is whether the people that are changing are bought in or not. And our GBS leadership team, and down to the individual salesperson level, are totally bought in. They understand that it gives much more opportunity by having the seat-based products. It provides more value to clients. If you're not dealing discount, you're going to be focused on talking about value which is sort of all of our strategy. They actually understand it and bought in. And I spent a lot of time with that team. They understand it, they're bought in and they're excited about it. And so, there are others I could go through. I went through a couple others in my talk track. But those are the kinds of things that give us confidence that we're on a really good trajectory.
Timothy McHugh - William Blair & Co. LLC: Okay. All right. Thank you.
Operator: And the next question will be from Jeff Meuler of Baird. Please go ahead.
Jeffrey P. Meuler - Robert W. Baird & Co., Inc.: Yes. Thank you. You referenced some of the factors, but I'd hope if we can maybe put some numbers around it. Just in terms of the Q3 upside and then the Q4 guidance, just help us understand on the Q4 guidance, like what is the divestiture impact. You talked about some cost slipping into Q4. Are those SG&A or what are they? How much are they? FX is worse, that was a factor. So, just if you can kind of help us bridge the Q3 upside and the Q4 guidance on some of the factors you cited with maybe some rough numbers.
Craig W. Safian - Gartner, Inc.: Good morning, Jeff. So, the way to think about the Q3 upside is the bulk of the upside came from below-the-line items, most notably depreciation, equity compensation expense, lower tax rate, and a little bit of benefit from a shares perspective. And obviously, that sticks and there's upside in Q4, which we flow through into the Q4 guidance on EPS. On the EBITDA side, we beat the top end of our guidance by about $0.06 in the quarter. Probably about half of that was spending that we expected to happen in Q3 that got pushed into Q4. And so, as we think about rolling into Q4 and also marking for foreign exchange rates and things of that nature, when you look at the full-year guidance, the Q4 guidance and then apply it to the first three quarters of actuals ex-divested operations, the way to think about it is we tightened the ranges on revenue, midpoint is a little bit higher than the initial guidance. We tightened the range on EBITDA, midpoint is essentially exactly the same as where we started out. And we tightened the range on EPS, but the midpoint moved up about $0.20 per share. All of that baked into the below-the-line benefits we talked about. In terms of the divested operations that come out in Q4, it's around $8 million to $10 million worth of EBITDA that we will not have now that those two businesses are no longer a part of Gartner.
Jeffrey P. Meuler - Robert W. Baird & Co., Inc.: Okay. Thank you. And then, I guess, Tim asked a variation of this question, but just keying in on the – for me, the GBS new business metric being down, I think it was 6%, just help me understand, with all of the head count growth – I think a lot of the head count growth is occurring in the business development staff where you're seeing a good productivity ramp. And on the account executives side, given that they were previously selling enterprise-wide deals, I would have thought that under the CEB model, it was already hard for them to sell a lot of new business. So, I'm just having a hard time reconciling all these factors with a decline in GBS new business sales. Thank you.
Craig W. Safian - Gartner, Inc.: Yeah. Jeff, I'll start off and then Gene will wrap up on the question. I think a few things to consider. So number one, the decline in new business was actually better than what we saw in Q2. So, we actually saw an acceleration of performance from Q2 to Q3 on the new business side. The other thing worth mentioning, while there were enterprise licenses, the account executives who covered those businesses still did sell a decent amount of new business. The bulk of the new business was sold by business developers, but the account executives did sell some new business, incremental leadership councils or incremental smaller functional areas within the functions that they were selling to. And they're now making the transition to renewing those leadership councils, attempting to migrate those accounts, if they want to, into seat-based products and learning all those new seat-based products. And so, that is taking some time, as we expected, given all the change that we've implemented with that team. The other thing worth mentioning in terms of the incremental capacity and we talked about this last quarter is we have such a high proportion of our sellers who are in their first year. They have less than one year of experience. And as you know, from your experience with Gartner, the productivity in that first year is generally very low or relatively low, and we see it improve over time. And so, again, the way we think about this is we're doing all the right things. We know the formula to apply and we're essentially really laying the foundation for accelerated growth in 2019, 2020 and beyond.
Jeffrey P. Meuler - Robert W. Baird & Co., Inc.: Thank you.
Operator: The next question will be from Manav Patnaik of Barclays. Please go ahead.
Manav Patnaik - Barclays Capital, Inc.: Thank you. Good morning, gentlemen. My first question was, I guess, I understand your comment on providing support staff, I guess, for your folk in terms of renewals, because of the time they're spending there. But then, does that then imply that when they're trying to go in for the renewals and, presumably, they're trying to sell your new seat-based offering that the clients are pushing back on subscribing to that? Like, can you just help us understand like maybe how much are switching and how much are choosing not to?
Eugene A. Hall - Gartner, Inc.: It's Gene, Manav. So, basically, the philosophy that we've approached with this, if we have a happy client with an existing product and they want to keep renewing forever, we're happy with that. And so, what we do is we go through with our clients and those that are very satisfied with the legacy products and want to keep renewing and we have a little price increase each year, we let them do it and we're happy to do it. For those that have some questions about value, whatever, we go and we show them the new products, which are priced higher, by the way, substantially higher, and we sell them the new products. So, we're actually getting good uptake among the clients that say, I'm not necessarily that happy with the existing product. We're actually getting good uptake and conversion and a substantial portion of our seat-based sales in the account executive channel. And so, it would be the – the other thing about that is that we're not actually going – we are happy if a client keeps renewing. We've great incremental margins with our legacy products. We're very happy for them to keep renewing. It's got a low sales cost, great gross margins and focus on selling the new. As I mentioned, what's going on is, under the covers, the amount of legacy new product sales has been declining because you didn't stop, in a binary sense, because even though we stopped making new proposals, any proposals in the pipeline, we'll let salespeople and clients go ahead and close. In the meantime, they've been switching now to selling the newer products, the seat-based products, and that's been rising rapidly and that has been kind of flat so far, but based on trends, we expect that will change. And also, as Craig said, we've added a lot of capacity, as you know, in the first year. And as Craig said, the first year you hire people, you train them, and then they have to get up the curve. Their selling productivity is the lowest, obviously, in their first year.
Manav Patnaik - Barclays Capital, Inc.: Got it. Okay. And then maybe just broadly, I mean, I guess, I understand when you go into this detail that, I guess, you guys get to see it kind of anecdotally makes sense what's going on there. But in terms of your commitment to get to double-digit growth next year and 12% in 2020, like what sort of cadence should we expect in terms of how does growth start showing up either quarterly or, I don't know, by midyear? Like how long does it take to get there?
Craig W. Safian - Gartner, Inc.: Good morning, Manav. The way we think about it is, obviously, we've laid out the target, and we remain as committed to that target as we've been. And hopefully, you've got a sense for the confidence that Gene expressed in our ability to nail that target by the end of 2019. Our expectation is we will see or should see progress over the course of 2019. We're not going to commit to a certain percentage rate by quarter. The baseline is not a huge number. So, it is sensitive to a little bit upside or a little bit of downside. But we remain 100% committed to being able to hit that double-digit CV growth target by the end of next year.
Eugene A. Hall - Gartner, Inc.: Yeah. So, Manav, we've modeled out what we need to do to get to that target. Like quarter-by-quarter, what sales productivity we need, what renewal rates we need, what rate – what new business productivity we need. And so, it's not a hope and a dream. It's basically we've modeled it out. We know what we have to do. Our sales teams and service teams know what they have to do and we think we'll see the acceleration throughout 2019. And it's not going to be three quarters of zero growth and then all of a sudden it goes to double digit. You'll see the acceleration.
Manav Patnaik - Barclays Capital, Inc.: Got it. All right. Thanks, guys.
Operator: The next question will be from Gary Bisbee of Bank of America Merrill Lynch. Please go ahead.
Gary Bisbee - Bank of America Merrill Lynch: (46:00) guys. So, what kind of sales head count growth would you expect to need to deliver that double-digit contract value in GBS. I mean, obviously, it's substantially faster today. But with the pace of hiring – do you think you can hit it while slowing the pace of hiring? In other words, would you expect productivity to step up meaningfully next year, or should we think that, while you're continuing to work through this and season the sales staff that it would likely need a continued growth of sales head count well in excess of the contract value that you plan to deliver?
Eugene A. Hall - Gartner, Inc.: So, we believe that GBS has the potential to grow faster than GTS on a sustained basis, because the penetration is still low. And so, we're actually increasing our sales head count not to hit 10%, but to – we're growing our sales head count to far exceed that, and I won't – I'm not saying the exact number, but just a number bigger than we're getting from GTS, which is very good. And so, the first part of the answer to your question is we're growing our GBS sales head count with the anticipation that, actually, we will not just hit the targets that Craig laid out earlier, but we will go beyond those as soon as those people get up to speed. In terms of the specific numbers there...
Craig W. Safian - Gartner, Inc.: Yeah. Good morning, Gary. The way to think about – we're at about 20% year-over-year head count in GBS frontline sellers as of the end of Q3. We'll be in that neighborhood at the end of 2018. And as Gene mentioned, one of the things that we've observed and learned and executed over the last decade or so that when we have more sellers, we actually sell more. And so, we'll be entering 2019 with the largest army we've ever had from a GBS perspective out there. We'll have more people or a higher percentage of people who have more than one year of experience, which will obviously be a help as we roll into 2019 as well. And you can back into or extrapolate the productivity required, based on where you think we're going to enter the year next year in terms of opening sales head count that would achieve that 10% target that we've laid out. It is more than we are delivering today from a productivity perspective, but it is a fraction of what GTS is currently delivering from a productivity perspective. And as we've said in the past, there's no reason why GBS productivity shouldn't mirror GTS productivity over the long term. And so, it's a combination of, to Gene's point, we're not in this game just to hit 10% at the end of next year and 12% at the end of 2020. We believe that market opportunity is vast and enormous and untapped. And so, we're actually driving head count growth or adding head count capacity to go after that big market opportunity and accelerate our growth into the future.
Gary Bisbee - Bank of America Merrill Lynch: Okay. Great. And then just a follow-up Craig. So when I look back at this year you've beaten the quarterly EPS bogey you'd set out convincingly, but the full-year numbers haven't moved a lot. I realize there's an awful lot of moving parts with the divestitures, with tax moving around and some of the below-the-line items. But your business should be quite predictable, your spending should be fairly predictable. Are we now through all the divestitures and everything? Are we now in a place where one might expect you to have some more ability to predict quarter-to-quarter the financial performance or do you expect these factors that have been moving around to continue to do that going forward? Thank you.
Craig W. Safian - Gartner, Inc.: So, there's a few things going on, you're right. It has been noisy from a divestiture perspective. And from a plan perspective, we've now executed on the four major divestitures that we set out to, which were businesses or assets that came over as a part of the CEB acquisition. And that's why we – in the supplemental document you'll find on our website, we've gone to great efforts to provide our investors with the – excluding divested operations, view, so you can see what the P&L really looks like down to adjusted EPS as if these businesses were never a part of Gartner. And so, we're getting into much more of a, what I'd call, normal operating environment from that perspective. I think, Gary, with our businesses, there are different degrees of predictability associated with them. Obviously, the subscription research business is a great business and is highly, highly, highly predictable. Some of our other businesses have a little bit more variability around them. And on top of that, we haven't exactly been in a 100% stable foreign exchange environment either, which can cause numbers to go up or go down compared to what the guidance was even three months prior. So I think you're right, your assertion is right that with a lot of noise behind us, we're now in a, I won't call it completely normal, but a more normal operating environment and the predictability of our businesses remains the same in terms of subscription-based revenue, really predictable and some of the other businesses have a little bit more variability, and we'd expect that going forward.
Gary Bisbee - Bank of America Merrill Lynch: Thank you.
Operator: The next question will be from Bill Warmington of Wells Fargo. Please go ahead.
William A. Warmington - Wells Fargo Securities LLC: Good morning, everyone. So a question for you on the same-event growth and revenue attendees and contribution margin that all looked very strong. I just was hoping you could comment on what was driving that.
Eugene A. Hall - Gartner, Inc.: So, Bill, basically, in our Events business, we have – we based it on the research that we have in our Research business. Clients come for that and we've been very effective at marketing those events, and obviously clients are seeing a lot of value from it. It's kind of as simple as that, great content, great marketing. And so, the clients come and get a lot of value out of it and that's why you're seeing that growth.
Craig W. Safian - Gartner, Inc.: And again, when you see the growth because of the foundation of the business, it's not nearly as leveraged as our Research business, but obviously a lot of the costs at an event or conference are fixed to some extent. So when we have more exhibitors and more attendees, it flows through very nicely.
William A. Warmington - Wells Fargo Securities LLC: Okay. And then in terms of fourth quarter guidance without discontinued operations, if you could give us a comment on what the assumption is in that fourth quarter guidance for both GTS CV growth and GBS CV growth to get some sense of that?
Craig W. Safian - Gartner, Inc.: Yeah, Bill, we don't guide on the CV or CV growth. Essentially – the revenue in there is essentially an extrapolation of the Q3 ending contract value, and that just kind of runs out in the quarter. But we have historically not guided on contract value growth.
William A. Warmington - Wells Fargo Securities LLC: Got it. All right. Well, thank you.
Operator: The next question will be from George Tong of Goldman Sachs. Please go ahead.
George Tong - Goldman Sachs & Co. LLC: Hi. Thanks. Good morning. Within the GBS segment, you indicated that business development productivity is comparable to GTS levels and that while account execs have had a slower learning curve, the pace of selling has improved from earlier quarters. Given those dynamics, can you elaborate on the factors that prevented CV growth from accelerating from the prior quarter?
Eugene A. Hall - Gartner, Inc.: Hi, George. Just to be clear, so on the – so, the BD productivity is as good as GTS. They had good BD productivity before. It wasn't like they had terrible BD productivity. And then on the AE side, what's going on is there's a fall-off in sales of legacy product and an uptick in sales of the new products. And because of the learning curve, again, that uptick wasn't as quick as the business developers, but it's proceeding well. So, the reason you're not seeing it is, the BD productivity on the legacy products was good and on the new products was good. On the AE productivity, it's been based – so that didn't change a lot. On the AE productivity, what's going on is that the AE net productivity wasn't at GTS levels. And it hasn't risen substantially so far because of the fall-off of legacy has been made up for just about equally with the increase in seat-based products. Now, we're encouraged that over time that will turn around, because, as I mentioned, we're reducing the workload to the number of renewals that we have to see. And secondly, for the AEs that have started selling new seat-based products, their new business productivity is going up as well. It's a higher priced product and there's more additional sale opportunities. So, it's this combination of – with the new seat-based products having higher pricing, having more additional sale opportunities, and then in addition to that, having a smaller workload in renewals, so you have more time to sell. Those are the factors that over time – it hasn't happened yet, but we can see it in the underlying numbers that where we have reduced workload, their productivity has gone up. We will continue to do that throughout 2019. We're doing it now, but we'll continue to do it through 2019. And again, for the people that have already sold their first seat-based product, they're now getting acceleration in selling the second, third, fourth, which increases their new business productivity.
George Tong - Goldman Sachs & Co. LLC: Got it. That's helpful. You'd indicated that GBS new business was down 6% in the quarter. What was it last quarter and how does new business need to trend in order for you to hit your double-digit CV growth target by 2019?
Craig W. Safian - Gartner, Inc.: Hey. Good morning, George. So, in Q2, new business was down about 20% compared to the prior year. So as I mentioned on a previous question, we actually saw a nice improvement from Q2 to Q3, which is great. I think that, obviously, there's two simple levers that will allow us to get to that or three simple levers, I should say, that allow us to get to that double-digit contract value growth target for 2019. Number one is continuing to work on and improve retention rates. And as we talked about earlier, we've seen nice progress on the GBS retention rates. However, you will note that there's still a pretty big gap between wallet retention of GBS and wallet retention of GTS, which we are intent on closing over time. So that's number one. Number two, we're going to have significantly more capacity from a selling perspective. And obviously, that will equate into more sales for us. And that will help on that path to double-digit growth. And then, lastly, is really that new business number. And again, you look at what we're doing in GTS and you can kind of use that as a guide in terms of what kinds of new business growth is required to support double-digit and mid-teen CV growth. And so, I think we would expect to see new business growth growing at double-digit rates as well to support double-digit contract value growth from a sustainable perspective into the future.
George Tong - Goldman Sachs & Co. LLC: Got it. Very helpful. Thank you.
Operator: And ladies and gentlemen, we have time for one additional question and it will be from Jeff Silber of BMO Capital Markets. Please go ahead.
Henry Sou Chien - BMO Capital Markets (United States): Hey, guys. Thanks for squeezing me in. It's Henry Chien on for Jeff. Just wanted to ask about the GTS business. So, it seems like both CV growth is really strong and you're seeing nice gains in productivity and it seems like things are really going well there. Just curious, is that a satisfying sort of level for you? You just want to keep that business at a steady pace and any upcoming investment cycles in that area that you're thinking about.
Eugene A. Hall - Gartner, Inc.: So, Henry, in GTS, we're doing great. The growth rate is terrific. We're not satisfied with the growth rate. We'd like to have higher growth and we're working all the levers. So, we are continuing to work on improving retention and we believe we can continue to improve retention. And we are continuing to work on improving new business per salesperson. While it's good, we believe it can get better and we have programs to improve that. And again, we also want to grow the sales force at the rate that we believe we can productively deploy salespeople. And as I've talked about in the past, the third lever, the rate we grow is set by the number of managers we have and what we think their capacity is to manage additional salespeople. And so, if we can increase that, meaning our management team's ability to accept more salespeople, we'd accelerate the growth rate in our head count as well. And so, we're working all three of those levers. So while, as you said, GTS CV growth and productivity is great, we're not satisfied with that. And again, our aspiration is for significantly better.
Henry Sou Chien - BMO Capital Markets (United States): Got it. Okay. That's great. And just in terms of the content for GTS, I know that supply chain and marketing, I know you mentioned in the past, have been good drivers for sort of accelerating that growth. Is that still the case or is there any sort of trends by the sort of product lines that you see right now?
Craig W. Safian - Gartner, Inc.: Yeah, I think we have tremendous opportunity across all the functional areas we serve. And as we accelerate the growth in the GBS business, our expectation is all the functional areas that we serve will be healthy contributors to that acceleration in the growth rate.
Henry Sou Chien - BMO Capital Markets (United States): Okay. Great. Thanks, guys.
Operator: And ladies and gentlemen, this will bring us to the end of our Q&A session. I would like to hand the conference back over to Mr. Hall for his closing remarks.
Eugene A. Hall - Gartner, Inc.: Well, so as you heard today, we have strengthened all three of our businesses: Research, Consulting, and Events. We know the right things to do to drive success in our business by applying the Gartner Formula. Our GTS organization continues to deliver strong performance. We've put much of the foundation in place that will accelerate the learning curve for GBS, resulting in sustained double-digit growth there as well. We deliver incredible value to every major functioning enterprise. We've vast market opportunity and we're on track to deliver sustained double-digit growth in revenues, earnings, and cash flow for years to come. Thanks for joining us today and we look forward to updating you next quarter.
Operator: Thank you, sir. Ladies and gentlemen, the conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.